Operator: Hello, ladies and gentlemen, and thank you for standing by for the JinkoSolar Holding Company Limited’s Second Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen only mode. After manger’s prepared remarks there will be a question-and-answer session. As a reminder, today’s conference is being recorded. I would now like to turn the meeting over to your host for today’s call, Mr. Sebastian Liu, JinkoSolar’s Investor Relations Director. Please proceed Sebastian.
Sebastian Liu: Thank you operator. Thank you all for joining us today for JinkoSolar’s second quarter 2013 earnings conference call. The company’s results released earlier today and available on the company’s IR website atwww.jinkosolar.com, as well as via newswire services, we have also provided supplemental presentation for today’s earnings call, which can also be found on IR website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Arturo Herrero, Chief Marketing Officer; and Mr. Zhang Longgen, Chief Financial Officer. Mr. Chen will discuss Jinko's business operations and the company's highlights, followed by Mr. Herrero, who will talk about the Company's business strategies and Mr. Zhang who will go through the financials and guidance. They will all be available to answer your questions during the Q&A. Please be noted that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks are included in Jinko's public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under the applicable law. Please be noted that to supplement these consolidated financial results presented in accordance with the United States Generally Accepted Accounting Principles, or GAAP, Jinko uses certain non-GAAP financial measures. The company believes that the use of non-GAAP information is useful for analysts and investors to evaluate Jinko's current and future performances, based on a more meaningful comparison of net income and diluted net income per ADS, when compared with its peers and historical results from prior periods. These measures are not intended to represent or substitute numbers as measured under GAAP. The submission of non-GAAP numbers is voluntary and should be reviewed together with GAAP results. It’s now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin and I will translate his comments into English. Please go ahead Mr. Chen.
Kangping Chen: [Foreign Language] Thank you, Sebastian. Good morning, and good evening, to everyone, and thank you for joining us today. [Foreign Language] I am pleased to report our first quarter profitability with the third quarter of 2011 or in the second quarter of 2013 increasing demand from regions where we have made strategic investments and our ability to efficiently execute our strategy and further solidify our leading position in global PV market. We increased shipment and volumes and expanded our gross margin to 17.7%, making JinkoSolar among the first Chinese module producer to return to net profitable since downturn. Total shipments were 489.2 megawatts during the second quarter of 2013, including 460 megawatts of solar modules, which represents an increase of 44.5% from the first quarter of 2013, an increase of 61.9% from the second quarter of 2012. Total revenues during the quarter were $287.6 million, representing an increase of 61.7% from the first quarter of 2013, an increase of 42.6% from the second quarter of 2012. We have successfully navigated the rapidly changing solar power environments to emerge stronger, profitable, more nimble company. We now expect to return net profitability for the entire year as we have are confident that this quarter’s strong operational and financial performance is indicative of our future performances. [Foreign Language] Over the past few quarters JinkoSolar has rapidly adapted to number of fundamental shifts in the market. We now believe that we are prepared to take full advantage of the more favorable industry conditions. Where ASP continues to stabilize the solar industry has begun to consolidate with demand gradually aligning with supply. These fundamental industry shifts are further supported by serious positive developments, domestically and internationally. Domestically the formulation of the China state consortium in early July emphasize the strategic importance of the PV industry and set a clear target of 35 gigawatts by 2015. Internationally the settlement agreements between the EU and China are export of solar product, will greatly improve our visibility in the European market. [Foreign Language] We believe really to demonstrate our further improved, state of the art technology, reliability and quality of the solar product that have driven our growth. In just the past quarter JinkoSolar received a dynamic mechanical load test certification which is the first in the industry and Dust and Sand verification from TUV Nord as well as the fire resistance certification from Italy's Istituto Giordano. This demonstrates just how effective we have become at delivering the best performance in diverse real world conditions. We’re now able to specially customize our modules based on the specifications of customer demand. With such strong production offer and growing demand we’re to leverage our brand, strong relationship and technological leadership as the market recovers. [Foreign Language] As a direct result of our decision to increase our exposure globally, we have reduced our reliance on Europe and expanded our presence in emerging market such as China, Japan the United States, South Africa and India. Last year Europe accounted for almost 50% of our shipments, but now only makes up approximately 25%. Having leveraged our first mover advantage in China early on, we have secured a leading position and have now become one of the most well-known PV module brands domestically. This will aid us significantly ahead of our homes market rapid growth. We continue to expand our presence in Japan which has shown promise as we push deeper into the market, making the more significant part of our shipment portfolio. We have developed multiple meaningful relationships with customers there and look forward to future opportunities. We remain dedicated to serving our customers in the U.S., which has already become a strategically important market for us, having just announced the contract to supply of 39 megawatts through utility scale projecting mid-west U.S. Orders from South Africa and India also continued to grow as we want to build our brand there. Meanwhile we have continued our effort to penetrate in new emerging markets in Middle East and Latin America. [Foreign Language] (Audio gap). This is the conference center. We are experiencing some interruption in today’s conference. Please stand by while we resolve the situation. This is the conference center. Please stand by, we will resume the conference shortly. Thank you for our patience.
Operator: Just read what you just stated, then cut off that way you reading so.
Kangping Chen:
Operator: Please go ahead.
Kangping Chen:
Arturo Herrero: Thank you, Mr. Chen. Good morning and good evening to all of you. In line with our Q1 earning’s call, we have seen a substantial improvement during Q2 and the first half of 2013, as a global PV markets and increasing demand from strategic emerging market has gotten stronger for JinkoSolar. We are confident, we have left behind one of the worst periods in PV solar industry characterized by continuous reduction in subsidies, slowing demand and price competition. Following our geographic distribution strategy, we have benefited from increasing demand coming from emerging markets such as China, Japan, India, and South Africa. JinkoSolar has successfully established a strong presence in each of these markets, reaching leadership positions in some of them such as in China or in South Africa where we are sharing 30% market share from the first and the second rounds of the public tender. We have seen improvements in ASP also as it continues to stabilize after more than two years of continuous erosion. This has helped increasing our gross margin to one of the highest amongst our peers and JinkoSolar is now among the first Chinese module producers to return to net profitability. Regarding the anti-ramping preliminarily import taxes, we have closely followed the agreement reached between the European Commission and Chinese Government and we have seen a respected positive initial settlement. European markets during the second quarter were hesitant and they already enrolling, but we are now confident that our visibility in the European market will greatly improve as a result. The minimum price I reached as below EUR56 per watt might be too high to make it financial feasible for large-scale ground mounting systems in most of European countries. However, it could possibly open the door to a healthy and sustain PV demand from the European residential and commercial roof market where JinkoSolar is quite present. All these first tier PV suppliers like Jinko who have solid brand recognition, strong bankability feedback and the highest technology and quality from our modules can secure demand from loyal customers willing to pay such high price per watt. The situation will become exquisitely more challenging for second and third tier Chinese companies as aggressive pricing no longer distinguishes or differentiates them. Our shipments during the second quarter this year were approximately 490 megawatt, consisting of 460 megawatt of modules. It represents a big increase from the first quarter over 45% and 62% versus the year before. This once again is a new record in the history of JinkoSolar. During the first half of 2013, we exceeded our expectations by selling approximately 750 megawatt of module sales and have first reduced our guidance upwards for the year 2013. In the first half, gross margin improved thanks to better demand, stabilizing ASPs and the fact that we’re entering into emerging solar market such as Japan and South Africa where we are selling at a higher prices. Financial (ph) guidance recently issued by Chinese State Counsel emphasizing the strategic importance of the PV industry and set a clear target 35 gigawatt by 2015, we are very optimistic about the potential continue demand from Chinese market where we have built a leading position. Europe was our second largest export region accounting for over 25% of our shipments, thanks to demand for royal European customers doing also business overseas. Asia pacific countries such as Japan, India, and Thailand accounted for almost 20% of our total shipments for the first half 2013. Q2 was JinkoSolar’s most geographically diversified as we entered into new emerging solar markets. In the first half, Jinko was active in 30 countries compared to only 20 countries in last quarter last year. Sales in Canada and Australia improved versus previous quarters and we made our first important sales in countries in South America like Chili, Colombia, and Mexico but also in United Arab Emirates, Egypt or Dubai in Africa and Middle East. Recently, we announced a contract sign with MX for an important largest scale utility system totaling 39 megawatt that is expected to be completed before end of this year 2013 in the U.S.A. Thanks to our geographical fact (ph) diversification our global brand recognition, bankability combined with our strong local presence in new emerging countries, we managed to have longer visibility and contracts through all year 2013 and into next year 2014. In keeping with our lean structure, we continue to implement our expansion and diversification strategy while ascertaining our global sales and marketing teams and at the same time closely controlling costs. We are reinforcing our presence in markets such Asia Pacific regions, South Africa and South American with addition of few highly qualified professionals’ new sales members. With a same mindset for marketing and branding while controlling our budget and spending much less than our peers, we continue implementing our marketing strategy to achieve our global growing broadening JinkoSolar’s brand recognition around the world. During the first half, we participated in many important PV exhibitions and conferences. This includes Intersolar in Munich PV America and Intersolar in the USA, Chilean Renewable Energy Congress held in Madrid, the World Future Energy Summit in Abu Dhabi, Solar Expo in Morocco, Eco Building in London, PV Japan in Tokyo, PV Exhibition in Australia, Brisbane and finally PV Exhibition in Sao Paulo, Brazil. We also presented at the Energy Africa Forum in Barcelona and at the PV Exhibition in Tokyo, Japan. Consistent with our focus on corporate social responsibilities we keep making PV module donations to charities. Valencia soccer team as part of our marketing branding, together with some of our best American partners enjoyed Valencia’s full new victory 4-0 in the New York Giants Stadium over (inaudible) Milan, as we also was enjoying the victory of 1-0 in Miami Dolphins’ Sun Life Stadium over the English team Everton. In Q3, we are planning to be attending the major PV exhibitions and improve and increase our brand recognition worldwide. Regarding technology and new launches, we presented our Eagle series PAV III series at 85 degree Celsius and 85% humidity at Intersolar Exhibition in Munich. It is PV module designed for high temperatures and high humidity especially important for emerging PV marketplace, South Africa, South America and African countries. We have received Dynamic Mechanical Loads test certification which is first in the PV industry and Dust and Sand verification from TUV Nord, as well as we reached the test and the certification for Fire Resistance which is extremely important for European countries but especially for Australian residential markets. With that I will pass the call to our CFO, Longgen Zhang. Please.
Longgen Zhang: Thank you, Arturo. Good morning, and good evening, to everyone on the call. First I would like to walk you through our financial results in the second quarter of 2013, followed by the third quarter and the full year 2013 guidance. As Mr. Chen mentioned early total solar product shipments in the second quarter of 2013 were 489.2 megawatts. Total revenues in the second quarter of 2013 were $287.6 million, an increase of 51.7% sequentially and an increase of 42.6% year-over-year. The sequential increase in revenue was mainly due to the significant increase in the shipment of solar modules while the year-over-year increase was primarily due to the increase in shipments which was offset by the decline in ASP. Gross margin was 17.7% in the second quarter of 2013, compared with 12.7% in the first quarter of 2013 and 8.4% in the second quarter of 2012. The sequential increase in gross margins was primarily attributable to improvements in operating efficiency and increase in ASPs and continued cost reductions for our polysilicon and auxiliary. The year-over-year increase was mainly due to continued cost reductions for our polysilicon and auxiliary materials and improvement in our operating efficiency, which were partially offset by a decrease in ASPs. In-house gross margin relating to in-house silicon wafer, solar cell, and solar module production was 18.3% in the second quarter of 2013, compared with 13.1% in the first quarter of 2013 and 11.2% in the second quarter of 2012. Income from operations in the second quarter of 2013 was 25.4 million, compared with a loss from operations of 2.7 million in the first quarter of 2013 and loss from operations of 13 million in the second quarter of last year. Total operating expenses in the second quarter of 2013 were 25.4 million, a decrease of 5.1% sequentially and a decrease of 16.3% year-over-year. The sequential increase was primarily due to an increase in shipping and warranty costs resulting from the increase in solar module shipments, which was partially offset by the reversal of provisions for bad debt as a result of the collection of cash of long-aged accounts receivable. The Company’s operating expenses, excluding non-cash charges represented 11.9% of its total revenues in the second quarter of 2013, representing a decrease from 14.9% sequentially and a decrease from 14.3% year-over-year. Operating margin in the second quarter of 2013 was positive 8.8%, compared with negative 1.4% in the first quarter of 2013 and negative 6.7% in the second quarter of last year. Net interest expense in the second quarter of 2013 was 9.5 million, an increase of 5.8% sequentially, and an increase of 6.6% year-over-year. The increase was primarily due to the successful issuance of RMB800 million in corporate bond and RMB360 million law agreements with CDB. We recorded an exchange loss of RMB0.9 million U.S. Dollars in the second quarter of this year, primarily due to foreign currency exchange loss of 3.1 million and a gain in fair value of forward contracts of 2.2 million. We recognized a loss of $4.1 million in change in fair value of convertible senior notes, and capped call options. The company recognized an income tax benefit in the second quarter of 2013 of approximately $35,000, compared with a tax expense of approximately $2,000 in the first quarter of 2013 and an income tax benefit of $1.6 million during the second quarter of last year. Net income in the second quarter of 2013 was $8 million, compared with a net loss of $20.7 million in the first quarter of 2013, and a net loss of $48.9 million in the second quarter of last year. This translates into basic and diluted income per ADS of $0.36 Non-GAAP net income in the second quarter of 2013 was $12.1 million, compared with a non-GAAP net loss of $12.1 million in the first quarter of 2013, and non-GAAP net loss of $46.8 million in the second quarter of last year. These translates into a non-GAAP basic and diluted income per ADS of $0.56. As of June 30, 2013, the Company had 113.2 million in cash and cash equivalents and restricted cash. Operating cash inflow in second quarter of 2013 was $74.8 million. Capital expenditures during the quarter were $6.9 million. As of June 30, 2013; total short-term borrowings including the current portion of long-term banking borrowings were $386.2 million, compared with $397 million last quarter of 2013. Total long-term borrowings were $62.4 million as of June 30, 2013, compared with $55.4 million as of March 31, 2013. As of June 30, 2013; the Company’s working capital deficit was negative, 337.4 million compared with a deficit of $223.1 million as of March 31, 2013. Now let me turn to our guidance. For the third quarter of 2013 we expect total solar module shipments to be approximately 460 megawatts to 500 megawatts. For the full year 2013, total solar module shipments has been revised upwards and is now expected to be between 1.5 gigawatts and 1.7 gigawatts, and total solar project development scale is expected to be between 200 megawatts and 300 megawatts. At this moment we are happy to take your questions. Operator.
Operator: We will now begin the questions-and-answer session. [Operator Instructions]. Your first question will come from the line of Philip Shen with Roth Capital.
Matt Koranda:
Longgen Zhang: Thanks Matt. Basically, what are we doing here, if you look over this quarter, the CapEx is 6.9 million plus last quarter is around 6 million. Then also I think last year we spend on the CapEx. But accumulating, step by step we actually increase our capacity by small CapEx plus you know the technology improvements and also the machine efficiency. So basically right now we are almost, I think over 90%, the running even 1% of running. So or theoretically we say the capacity of 1.2 gigawatt in history is based on 90% of the capacity in our measurements.
Matt Koranda:
Longgen Zhang: Basically today we already finished three projects totaling 55 megawatts and in the Shanghai 30 megawatts, Guangzhou 20 megawatts and other is a joint venture owned equity 5 megawatt also in Guangzhou. If you look at this quarter, we also have around RMB5 million revenue come from the feed-in tariff. So basically today we cut those finished projects, the tariff as recognized revenue as cash received. Basically we still have the cash. The feed-in tariff is now received. But the good sign is, as you can see the last June the state council issued new regulations, and yesterday we received notice from the governments and the feed-in tariff is on the way to paid to us.
Matt Koranda:
Arturo Herrero: The six projects are under constructions. Five projects is 100% owned by Jinko and one project is 200 megawatt, we own 20%. So we share 56 megawatts. So total add together we own 146 megawatts under construction. Most of the projects were finished during I think this year starting I think August to the end of this year. So basically we believe I think these projects were completed I think about the end of this year.
Matt Koranda:
Arturo Herrero: I think speaking from the regulatory, I think its easy way for us. I think public company are too (ph) filing the F3 (inaudible) registration. That does not mean every company is going to raise money, and to raise money everybody is now based on the company performance and also the market situation the window. And we just are filing, we just watch the market and at this moment we do have detailed plans.
Operator: Your next question will come from the line of Vishal Shah with Deutsche Bank. Please go ahead.
Vishal Shah - Deutsche Bank: Sam, can you talk about your margin projection ford rest of the year? I know you're expecting shipments to be flattish. You used to provide some cost numbers in the past. Can you talk about your silicon and non-silicon costs?
Longgen Zhang: I think it's a good question. We never give guidance in the future the gross margin, but I am willing to talking about Q2. Basically Q2 our vertically integrated gross margin is 18.3% and our cost is around $0.50 and of which the silicon cost is $0.09 and the non-silicon cost is $0.40. So basically I think you can either (inaudible) speculation our ASP. So if you want details now, the non-silicon cost I think we get $0.10 and the sale is $0.12 and the module is $0.20. So if you add together it's $0.41.
Vishal Shah - Deutsche Bank: And how do you think your margins are going to trend? Are you expecting further improvement in margins in third and fourth quarter?
Longgen Zhang: We believe this quarter I think on the cost per module side today is $0.50. We think we can continue to keep that advantage, even though some of the peers price maybe slight up. For example the silicon cost, in Q3 our silicon cost average cost is $16 per kilograms. We believe maybe we're slightly up $1 or $2. But we saw other side, we see the non-silicon cost side that we can continue to improve. So basically we think the cost of module, by the end of this year will be around $0.50, even below $0.50. Another side, I think on the module side we believe the module side of the price is stable. And also especially for Jinko our market I think, maybe Arturo will have more comments. Because our geographical sales distribution you can see that the selling price to Africa, to other area is higher Japan. And also you can see the settlement between China and Europe. I think the minimum price euro cents. That also will help a lot on the selling price, ASP.
Vishal Shah - Deutsche Bank: You talk about distribution of your third quarter shipments and also why your fourth quarter shipments were flat compared to third quarter. What percentage of you shipments are going to go to China and other markets in the third and the fourth quarter?
Arturo Herrero: This is Arturo CMO. I will answer your question. We are trying to keep our strategy of being very diversified geographically and hesitation on the settlement between China and the European Commission has been giving us some headaches in the European countries. But the good news is that we have good customers doing business worldwide and also the Asian countries have been very active, very strong. So mainly in China as we reported has been around 44% of our shipments and then we have very strong market share in countries like Japan, India and then our power of Asia Pacific. In South Africa we are expecting to deliver a total of 300 megawatts as we were appointed for several contracts in the first and second round of the tender. So, Europe has been in total this Q2 around 25% but we expect that it will improve after the Q4 because obviously we already are at the midst of Q3. We already commit all our production to other deals in other countries. So European countries will not be very strong in Q3 but it will be definitely improving in Q4 and next year. But I feel we rely a lot on China, we rely a lot on Japan and USA will be improving a lot and improving the percentage for JinkoSolar too.
Vishal Shah - Deutsche Bank: One last question. Could you talk about the feed-in tariff development in China and what’s your lead time right now? Are you sold out through Q3 or even through Q4?
Longgen Zhang: I am going to answer the question first I think in China, I think actually the regulations are very clear, stay there. Right now basically we have two kind of the policy. Most projects we are doing right now so far is 100% the scale plant, the solar plant. So, basically only I think (inaudible) I think 10 megawatts is RMB1.15 per kilowatt. The rest of them is RMB1 per kilowatt. So this is all we got approved state. Then also we have got a state in of the nets I think approved. The only thing right now because before I think in June the new regulation of the fair council the feed-in tariff is not paid on time. They only pay the cashing fee. For example RMB1 they pay RMB0.35 first. Then another RMB0.65 is always delayed. So we right now received the notice saying if they were paid. I think as new regulations come out we are expecting soon maybe next month and they will pay. Right now at least the government says they were paid monthly. So if that’s the case, so you can see the projects that we finished and also under construction, the value I think a potential is there.
Vishal Shah - Deutsche Bank: And as far as capacity visibility goes, are you sold out through end of Q3 or Q4?
Longgen Zhang: Basically right now the capacity in Q3, we gave guidance is 460 to 500. We think in the fourth quarter, we are not giving guidance but if you can see we also think it’s an opportunity there. So basically from now on to end of the year our capacity will be almost I think utilization really above 90%.
Operator: Your next question comes from the line of Brandon Heiken with Credit Suisse.
Brandon Heiken - Credit Suisse: I was wondering if you could clarify your demand expectations in China and Japan in the second half. I know you talked about some of the other regions but what are you seeing for demand in those two regions?
Arturo Herrero: Well, we are almost sold out until October and mainly China is getting a big part for the third quarter. As you probably know there is some rush, there is some deadlines of changing the feed-in tariff and nobody knows when. So everybody is rushing to build as many projects as possible, because also we're seeing increase in the ASPs. For Japan is the same thing. We have very good feed-in tariff, very good subsidies from the government and according to Bloomberg it will be reaching even 5 gigawatt this year and probably 9 gigawatt in the next coming two years. So, Japan would be very important and for JinkoSolar, with our local team, our office and also our already loyal partners, we expect at least this year to reach around 100 to 150 megawatt in 2013.
Brandon Heiken - Credit Suisse: Okay, and for the new system with the European Union, do you know, is there is going to be a quarter system to allocate module shipments between companies? Do you have any updates on how many shipments you’ll be allowed to make to Europe?
Longgen Zhang: Basically we also one of the company participated the policy we are now making. So I am afraid we can’t say anything, comments there.
Brandon Heiken - Credit Suisse: Okay. And can you talk about demand in the rest of Asia-Pacific, for instance in Southeast Asia and other countries?
Arturo Herrero: Well, Asia-Pacific definitely is getting very important for JinkoSolar, already reported in our earnings. That in the first half only together Thailand, Japan and India is over 100 megawatts per quarter. So we have solar ready 150 megawatt in the first half. And we expect continuous increase in projects in Japan and Thailand and we are working to open also some leads in Malaysia and even in Bangladesh where we did the first sales this quarter, Q2.
Brandon Heiken - Credit Suisse: Just last question, it looks like your working capital declined in the second quarter. Do you think it’s at a sustainable level now or how do you think that will adjust for the rest of the year? Thank you.
Longgen Zhang: Brandon, I think it was good question. We see our working capital does continue to increase. The reason is two, because while as we continue to improve our efficiency on the kind of asset side. If you can see our inventories continue go down to the 80 million from 110 million and also accounts receivable is almost stable and even though our revenues continue to go up almost in more than 60%, just sequentially at 60%. So we see that. Then also you can see that we invest almost $130 million in projects. Those projects are finished and on construction. So that’s why the scenario right now, we are to maximize to use our working capital, especially in liability side because situation, to expand the accounts payable base as long as possible. At this moment, I can say we more efficiently used to maximize. But in the next quarter we got to more improve.
Brandon Heiken - Credit Suisse: Okay, so you said that working continued to improve you said?
Longgen Zhang: Yes, we will improve that.
Operator: Your next question comes from the line of Paul Strigler with Esplanade.
Paul Strigler - Esplanade: Couple of quick ones. Can you just talk about the related party revenue? It looks like it went up quite a bit. Is that, some of that feed-in tariff it looks like, but is other than that? Can you talk about that for a second?
Arturo Herrero: Just a minute, okay, Paul? Yes. You can see our news, we have the party’s revenue there. You can see that. It really is because why we have the related party as per revenue (ph), is we invested one of the projects, total is 200 megawatts. We only equity 28%. That mean we own 56%. We only kind of recognize the revenue on the module side is 144 megawatts. So that revenue will recognize. We have to classify as a variable party because that projects we also own that 28%.
Paul Strigler - Esplanade: Make sense, okay. And then it looks like if we take your full year guidance and subtract out sort of your Q3 guidance and your first half module shipments, it looks like Q4 is down from Q3. Is that just conservatism on your part?
Longgen Zhang: Good question. I think basically at this moment we have to more conservatively give our guidance. But we believe, we very conservatively, I think, positively, I think, optimism under Q4. I think the sales also up to today we think is very good, especially contracts, the delivery schedule right now we have.
Arturo Herrero: Let me complete the answer from Sam. This is Arturo again, the CMO. The first half already we complete 747 megawatt of shipments. So assuming a guidance that we already announced to up to 500 megawatt, it could run (ph) with Q3 in 1.2 gigawatt. So Q4 will be, and this is why we raised the guidance, will be in the guidance that we already announced, 1.5 gigawatts to 1.7 gigawatts. So there is a big range in Q4, depending on the situation in China in terms of demand and the other markets. But we are very confident, we can beat over them, the expectation is from the beginning of the year.
Paul Strigler - Esplanade: And finally just, how many megawatts or how much revenue from projects did you guys recognize in Q2.
Longgen Zhang: Okay Paul, let me just get at one comment; last question, maybe help you. Our CEO Mr. Chen said we were keeping this year profitable. So if you look at the figure Q1, how much we lost the money, and then you can manage how much the revenue, net income we have to make from Q3 and Q4. Secondly that to answer your question; think about how many money we recognize from the projects. So far from project side the recognized revenue only is 5 million, I think of feed-in tariff we collected. That’s it in the Q2. Renminbi.
Operator: Your next question comes from the line of James Basch with Dialectic Capital. Please go ahead.
James Basch - Dialectic Capital : I have a couple of questions. I guess the first is, if I look at cash, it declined a little bit quarter-over-quarter when you have, I think, close to $400 million of short-term debt that’s due. So I have some concerns given that I think China Development Bank have send a good partner to you guys; whether or not the company is solvent is going to be dependent upon whether or not they roll over your debt. And I especially have that concern in light of the negative working capital changes. I realize that if you do fall on an offering that might mitigate some of these issues, then that's thing be diluted to shareholders. So if you could address that concern and then I have a quick follow-up after that.
Longgen Zhang: James, I think it’s a good question. You’re concerned about the working capital, the cash issue. Just like I mentioned that, so far we already invest almost more than $130 million in the project site. And those projects (inaudible) and finished, is going to a starting to collect the feed-in tariff. I think the potential value is there. Up to today we didn’t recognize any revenue on the project side, except that 5 million feed-in tariff we collected as we know that for those investments, right now, we only got the CDB finance RMB360 million. So we have right now so far, another RMB500 million is underway, I think in the pool of procedures from CDB is going to advance to us. So that’s one side. Second is you can see that today, especially June, I think the new regulation coming from the State Council. Anytime right now, a lot of people is right now working with us now. Anytime we can sell our projects completed. The only chance that we have to maximize the profit or compare whether we’re going to keep or going to sell. If we’re going to keep, we translate as the equipment manufacturer to utility, the downstream, I think the global utility company. So we can, maybe even in the future split the solar power plants in the Asia, even Hong Kong market. So that’s the strategic thinking about that. I am not worried about, so far, the cash flows, the liquidation around the cash side. You saw that we still have the banking facilities available right now today. We still have around, I think the banking facilities. We do have banking facilities available. Let me give you the figure. It's is almost $400 million. Of course, to use the banking facilities, we have to use capital and so far I think, we believe, we are very confident.
James Basch - Dialectic Capital : I appreciate you saying that’s because of that balance sheet that looked, that levered. I was worried and I guess still am in some ways that this looks like in LDK or Suntec power, some point down the road. But if we get into that scenario; doing a follow on offering is an option. And then the second question I have for you guys is regarding Europe. You guys have a low cost structure and I imagine that benefits you in Europe where you’re able to sell at lower prices than some of your peer groups. I think you mentioned earlier on the call when you have a $0.65 solar (ph) that that ability to offer more aggressive pricing than your peer group at least on the residential flat in Europe is going to be very difficult. So of that 25% of revenues that’s in Europe, how much is on that residential side that unless I misunderstood you, is going to be very difficult for you guys to contain due to throw, given you are going to have to offer at least that minimum pricing versus your peer group?
Arturo Herrero: Okay, this is our Arturo Herrero, CMO again. I will answer your question on the resource, what we have seen from the feedback from customers. So what we’re receiving after all these months of speculation about the agreement between European Commission and the Chinese government is that our customers are loyal to Jinko and they rely on the bankability and they are happy with the service we provide and the most important thing, the high efficiencies and technology, they will continue with JinkoSolar. And even the price is, as you mentioned is, probably high EUR0.56 per watt. It opened the door to all the distribution channels in terms of residential market. That in fact is what we have been building during the last three years. So the distribution market in Germany or in Italy is a fact, is nothing new for us. The largest scale projects were mainly in the south of Italy and the largest scale projects were mainly in Spain. But it was history, it was long time ago. And probably there is still some chances in France and in UK but mainly our focus will be with our main partners to keep our distribution strong and then the price make sense. The EUR0.56 cents for distribution make sense if we offer good service, good technology in terms of high efficiency modules and this is why we have been working very hard in improving and we are one of the leaders in terms of high efficiency modules in the market.
James Basch - Dialectic Capital : All right and then just lastly again I just want to make sure that there is clarity on that cash balance. I think if ran $110 million as of the end of quarter which declined despite operating cash flow improvement and that I don’t know, I didn’t see it quite yet but maybe free cash flow negative for the quarter or in the future. You guys, if you were take off some of the shelf and I imagine you don’t file unless at some point you’re willing to take down that shelf, what are your thoughts on equity versus debt and that’s my final question?
Longgen Zhang: Okay to answer your question, you can certainly see the cash volumes. But to me okay, I am the CFO. Basically I am considering right now, you’ve also mentioned that is the in your last question about LDK, Suntec. To me today I manage the solar company, which is better and the debt-to-equity ratio is not the figure to tell me. To me, I think to manage the solar company it’s the best watt capacity wise. The capacity per watt, how is the debt the company bare. So I am not going to mention any company, Chinese company. If you look any other of our peers, how much debt total they have, today Jinko we have 1.5 gigawatts on the capacity, vertically integrated. My total net debt only about $500 million and basically, on the cash balance, we don’t want to borrow banking loan, sitting on the banking, pay the interest, the difference there. So I'm not worried about that. Second to answer your question directly, the equity and debt is based on the market and also the capital window. I can answer your question right now.
Operator: Your next question comes from the line of Dan Ries with Maxim Group.
Dan Ries - Maxim Group: If I look at Europe, unless I misunderstood you, I think you said 35% of shipments to Europe in 2Q. That would something like 170 megawatts. Are you all concerned that going forward you may be limited to something closer to 100 megawatts per quarter, particularly in the fourth quarter of this year because when the quota comes in, do you think you would be limited to something like that or do you think it will be above 100 megawatts per quarter?
Arturo Herrero: Okay let me clarify. This is Arturo again. What I mentioned, I mentioned around 25% for the first half of the year, not for the quarter. So the European market was 25% for the first half for JinkoSolar. So it is not so many megawatts as mentioned. The other comment is that we are working very tight and very closely with customers that are from Europe, but we’re doing business in South Africa in Japan in USA some of them even and mainly now we’re starting to see some projects in South America, in Latin America. So we expect that they have the expertise, they have also financing from Europe and they will open new emerging market with their projects. Still we believe that the second half, especially Q3 will not be so important for us in Europe because mainly once the decision was established between the European commission and China, it really was too late for us to allocate some of the megawatt of production to European customers or European projects in Europe. So, mainly we will rely on Asia Pacific, we will rely on the USA and we will reply mainly on these customers doing business in South Africa which contracts already contracted long time ago.
Dan Ries - Maxim Group: When did the EUR0.56 start for you? Has it already started or does it starts shortly?
Arturo Herrero: It has already started from the 6th of August.
Longgen Zhang: And also I will give you some comments. Basically you cannot simply do calculation, the allocation. Basically right now you can see that the 7 gigawatt on the module side, we already used I think 5.2 gigawatt and later 1.8 gigawatt from the August 4th to the end of the year to allocation between the Chinese manufacturer. Then you also have to consider, we also have 2.6 gigawatt on the sales side and also I think have 0.8 gigawatt on the waiver side. That figure, no people understand it. Those figure right now so far, for example, on our sales we have 1.8 gigawatt in use for the second half of the year can be used. So potentially I think we cannot tell you the exact figure Jinko, how much we can be allocated. But we feel very optimistic. Rather than competing the price, the minimum price is better than the history. To lower the price and make money.
Dan Ries - Maxim Group: Maybe I can switch gears a little bit to China, I think somebody mentioned kind of rush going on now and that's helped pricing. Can you give a little bit better color on that in terms of the price, how much the price has risen maybe in U.S. since say the start of the second quarter to today? And in terms of your shipments through third parties in China, is that where the extra business is coming from now? Can you describe, I think you are sold out but are people really looking for a lot of modules in the November and December timeframe when you are not sold out?
Arturo Herrero: The thing is that ASP has increased globally, and it includes also China. So we have seen that above $0.60 per watt has been the price mainly because of the changed rate. Also Renminbi has been helping. For the second half of the year what we expect is Q3 very strong in China and Q4 probably will be a little bit slowly but still very important for Jinko solar. So we don't see until the end of the year any issue in terms of allocation of production. On the contrary I wish we could have more megawatts in our production.
Dan Ries - Maxim Group: And I assume China has the lowest price in the world at the moment. Why you are allocating to third parties there? I understand your projects but why allocate to third parties there when there is a higher price available in other geographies?
Arturo Herrero: First thing, it's not the lowest price, China is not anymore the lowest. It was in the past probably and obviously before this agreement in the European minimum price. But there are countries that are still there, it's still lower India for example. But in any case, the allocation to China is because we have our loyalty to our customers. We wanted to create also good brand recognition and in the last two years we have been leader in Chinese markets jointly with India probably, and we want to keep this leadership.
Longgen Zhang: I will give you one more comment. For the sales contract we sell in China, we have (inaudible) close there. It's around run of 5%, 10%. We even didn't account any revenue until we received the cash. So that's I see, we (inaudible) our ASP in China around $0.01 to $.015. By the end of June 30th we have around RMB160 million is off the balance. Anytime we’re going to collect the money and recognize the revenue.
Dan Ries - Maxim Group: So you use cash accounting with your customers in China? Is that what you are saying?
Longgen Zhang: I am saying that (inaudible) for the quality; guarantee 5% to 10% is the fact from my contract right now. That is based on cash basis. It's not in the balance sheet and even income statements.
Operator: I would like to turn the conference back over to Mr. Sebastian Liu for any closing comments. Please go ahead.
Sebastian Liu: So on behalf of the entire JinkoSolar's management team, I want to thank you for your participation and the interest on this call. If you have any further questions or concerns, feel free to contact us and have a good day. Thank you everyone. Good bye
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.